Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Freeport-McMoRan Second Quarter Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Mr. David Joint, Vice President, Investor Relations. Please go ahead, sir.
David Joint: Thank you, Regina and good morning everyone. Welcome to the Freeport-McMoRan conference call. Earlier this morning, FCX reported its second quarter 2024 operating and financial results. A copy of today's release with supplemental schedules and slides is available on our website, fcx.com. Today's conference call is being broadcast live on the Internet. Anyone may listen to the conference call by accessing our website homepage and clicking on the webcast link. In addition to analysts and investors, the financial press has been invited to listen to today's call. A replay of the webcast will be available on our website later today. Before we begin our comments, we'd like to remind everyone that today's press release and certain of our comments on the call include non-GAAP measures and forward-looking statements, and actual results may differ materially. Please refer to our cautionary language included in our press release and slides and to the risk factors described in our SEC filings, all of which are available on our website. Also on the call with me today are Richard Adkerson, Chairman of the Board; Kathleen Quirk, President and Chief Executive Officer; Maree Robertson, Executive Vice President and CFO; and other senior members of our management team. Richard will make some few opening comments, Kathleen will review our slide materials, and then we'll open up the call for questions. Richard?
Richard Adkerson: Thank you, David and thank you all for joining us today. Well, we've seen quite a couple of months of volatility in the markets. I was on CNBC right when copper hit $5 for the first time ever, and I had big smiles on my face. Now, the reality of the copper markets have shown up and I just want to say a couple of comments about it. Many of you have heard me say for a long time that copper move from a cyclical metal that it had been in years past to one that's been driven more by episodic events. In China, its demand had been growing recently and has set records even in the face of poor performance in certain sectors, most notably the property segment. Recently, demand has been softening in other sectors. Credit markets in China have been soft, the high prices led to destocking. There's been a very tight concentrate market, which persists, TCs and RCs are record low levels and that's brought a lot of scrap to the marketplace. The government incentivized scrap for a period of time. And as a result, was a destocking, the softening demand, global inventories have risen, and that has triggered macro trading in commodities, particularly after the disappointment that the Third Plenum didn't result in a clear statement of incentivizing the economy in China. This simply won't last. There's limits to destocking, China will respond to its economy, there's underlying strength there, and we're very confident that this will improve over time. In fact, they've taken the first step with the recent interest rate cut. Underlying all of this is really the fundamentals of the global copper marketplace. The world is getting more and more electrified with connectivity, with dealing with carbon emissions, challenges there, but that's the fact that the world has to deal with A1 and Jeff Currie, recently talked about the importance of increased defense spending and that creates another element of demand. Supply changes, supply challenges continue and in certain cases are growing. And so as we look forward, our strategy is based on a fundamentally positive outlook about long-term copper demand and the reality of developing new supplies to meet that demand. It was really something to see, copper at $5. And I'll tell you, we're going to see it again. I want to make one quick comment to recognize our team for the great work we've done in reaching the commissioning of our new smelter in Indonesia. This was a major project, the world's largest single-line smelter. Construction is essentially complete. We posted a new video on our website last evening. I encourage you all to watch it just to see the size and scale of this new world-class facility. It's really something to visit it and seeing just the extent of the facility. This was a key commitment we made to the government of Indonesia in 2018, when we resolved to reach a global resolution of the issues that had been under discussion for so many years, it's a strategic importance for our business interest in Indonesia for the long-term by becoming a fully-integrated producer there with our mining operations, PT-FI will now be able to apply for extension of its operations for the long-term, which will really enhance the benefits of all stakeholders; the government, the people of Papua, our employees, Freeport and all shareholders and our partner, MIND ID, a state-owned company. Project has been in works for several years in a world that was challenged during this period of time by COVID and inflationary factors that have been evident in so many projects around our copper industry, it's really accomplishment by our team to bring this in on time and with reasonable budget spending on it. It's quite a facility. Take a look at the video. We are looking forward to getting our extension and then developing our plans to maximize the value of this resource over its life and not have any time limit of 2041 facing it. So we're really encouraged by -- and again, our team just did a tremendous job there. Kathleen, I'll turn it over to you.
Kathleen Quirk: Okay. Thank you, Richard, and I'm going to start on Slide 3, with the information reflecting the results of our second quarter and first half of 2024. Our team continues to focus on what matters in driving value in our business, focused on executing our plans reliably and responsibly, enhancing efficiencies, managing costs aggressively and building optionality value in our organic growth portfolio. During the second quarter, we generated strong margins and cash flows with $2.7 billion in EBITDA and $2 billion in operating cash flows. Our production volumes were largely in line with our estimates going into the period, but as we reported early July, our shipments of copper and gold were impacted in June as a result of obtaining export license in Indonesia, which has now been secured. I want to highlight two important items of significance and momentum for the future. The first item, Richard talked about it, it's the Indonesian smelter project advancing to the commissioning phase. As Richard discussed, our team has managed this large and complex project in an exemplary manner, and we're now focused on further derisking through a successful startup in the months ahead. Solid project execution is hallmark of our Freeport team who stepped up once again to deliver in a challenging environment for major capital projects. The successful completion of this strategic investment is of significance and positions us to secure a long-term extension of our operating rights in Indonesia. The second value driver I want to highlight is the ongoing momentum in our innovative leach project to build additional scale in low-cost incremental production. Continued scaling of this initiative is a major value driver and a differentiator for Freeport. As you'll see, our second quarter and first half incremental production from this initiative doubled from the comparable period since 2023. As we set our sights on scaling this initiative further, we see the opportunity to lower our unit costs in the U.S. meaningfully. We continue to execute our established shareholder return framework with $0.5 billion in dividends and share purchases year-to-date. We ended the quarter in a strong position financially, with a favorable future outlook as we head into the second half of this year. Turning to copper markets on Slide 4. Richard just talked about this, copper prices traded in a broad range between $3.67 per pound and $4.92 per pound on the LME exchange and a wider range on the U.S. COMEX exchange, that's been -- during 2024. We've discussed on prior calls, the impact of macro sentiment and investor positioning that can drive large moves in pricing. Richard referred to the domestic economic challenges in China, the ongoing weakness in the Chinese property market, destocking and working capital management and increase in copper exchange inventories and delays in actions to stimulate economic growth, which have all weighed on the market. In the U.S., we're seeing -- continuing to see strong demand for copper from a broad range of sectors. And globally, we favorable demand drivers for the future associated with copper's increasingly important role in the global economy. Copper is a foundational essential metal when it comes to electrification, and the world is becoming more and more focused on copper-intensive energy applications. The facts are its physical characteristics and superior conductivity make it the metal of electrification. New massive investment in the power grid, renewable generation, technology infrastructure and transportation are driving increased demand for copper and forecast call for above-trend growth and demand for the foreseeable future. As we review the fundamentals and match the demand side up with supply, we look at the limitations of existing supply growth, the challenges and extended time frames required to build new supplies and projections for peak mine supply over the next couple of years. These factors, combined with secular demand trends point to tight market conditions as we go forward. With Freeport's leading position in the industry, large-scale current operations and future growth pipeline, we're very well positioned to benefit from this fundamental outlook in the future. Now, turning to our operations on slide 5. We summarized the quarterly operating results by geographic region. In the US, we continue to focus our efforts on mitigating the impact of lower ore grade phases currently being mined. You'll see in our operational details provided in our press release that the ore grades processed through our mill and leach facilities in the US had more than a 10% decrease in ore grades compared to the year ago period. All else being equal, this results in higher costs on a per unit basis. We're very focused on mitigating these impacts, and to mitigate it, we're focused on initiatives to improve productivity, equipment reliability, take advantage of automation and new technologies and importantly, add low-cost incremental volumes through our innovative leach initiative, and we think this can have an impact as we go forward. In South America, our team and our large-scale Cerro Verde operation posted a solid second quarter. You can see the mill throughput exceeded 425,000 tons of ore per day. This is a strong recovery from the first quarter with higher throughput and recoveries contributed to higher copper and molybdenum volumes. Our unit net cash costs improved sequentially from the first quarter in South America, even after giving effect to a $0.22 per pound non-recurring charge for the new labor agreement reached during the quarter. In Indonesia, despite delays in shipping during the month of June, the results were strong, and you'll see net unit cash credits of $0.21 per pound. Our quarterly mill rates were lower than what we achieved in the first quarter as we advanced maintenance in June to manage inventory during the shipping delays. We also announced previously a change in mine sequencing that will affect gold volumes for the year. During the second quarter, we modified our mine plans for 2024 to address some disruption from certain wet draw points in the Grasberg Block Cave. We're currently maintaining our mining rates but have shifted to areas with slightly lower gold grades as we implement operating solutions to regain access to the higher-grade material. This is a timing matter and not a significant issue for our long-term plans. I want to talk some more about our innovative leach initiative, and we've got some information on slide 6. We're continuing to build momentum with this initiative. Given the low incremental cost and low capital intensity associated with these activities, which essentially involve recovering incremental copper from material that has already been mined. The returns and value proposition on this opportunity are significant and a major catalyst for us. You can see the significant growth in incremental volumes from these initiatives over the last several quarters. As a refresher, we have achieved our initial targeted run rate of 200 million pounds of copper per annum and now have our sights on scaling this to 400 million pounds per annum in the next couple of years. Ultimately, our goal is to achieve 800 million pounds per annum from this exciting initiative. This is the size of a major new mine with low capital investment required and incremental operating costs, which will greatly enhance the value and competitive position of our Americas production. I want to go over how we're doing this. The results to date have been achieved by enhancing heat retention in the leach stockpiles, by using data from sensors and analytics, which help us identify where the opportunities are located within these massive stockpiles and deploying new operational tactics to bring our catalyst solution to areas that were previously inaccessible. We're now building on these successful initiatives and have a high degree of confidence in boosting the run rate to 300 million pounds to 400 million pounds during 2026. Some examples of new initiatives include, expanding our surface area under leach by using drone technology and helicopters to install irrigations in areas previously inaccessible under conventional techniques and scaling our solution injection wells. With this experience, we're drilling more efficiently, getting more injection wells placed and are testing techniques to expand the impact of injection wells over broader areas. In parallel, we're working on innovation-driven initiatives, which would really move the needle to our ultimate objective of reaching 800 million pounds for annum. These include adding direct heat to the stockpiles from renewable or other sources, taking advantage of pyrite-hosted ore to generate additional heat and testing new additives that we've been developing. At Freeport, we're really well positioned to capture this value with an extensive inventory of substantial residual copper from material already mined, industry-leading technical expertise and leaching technology and a strong multi-disciplined and focused innovation team dedicated to this initiative. Turning to our other areas of growth of project pipeline on Slide 7. We discussed earlier the extended time frames required for the industry to develop new supplies. At Freeport, we have the advantage of leveraging existing infrastructure to develop new supplies and have a series of projects we are advancing. Our leach initiative is our best opportunity to grow in the near term, and we're pursuing this aggressively as we talked about. But beyond that, in the US, we have a brownfield expansion at our Bagdad mine in Arizona where we have an extensive reserve position. We've already reported. We've completed our studies. We're now advancing investments in automation, tailings and energy infrastructure and expanded employee housing in this remote location to position us to execute the project more efficiently when the time is right. This project, unlike other things that you see around the industry, it does not have major permitting hurdles and it represents a straightforward option. We're monitoring conditions and progress with our derisking initiatives and expect to be in a position to make a decision on our investment next year. We've also commenced pre-feasibility studies to define a brownfield expansion in the Lone Star, Safford District. Most of you know, this is our newest operation in the US and we're really just getting started here. We have our sights on more than doubling current production levels in the 300 million pounds per annum range. This is an enormous resource, and we expect this district will become a generational cornerstone asset for Freeport in Arizona in the next decade. At El Abra in Chile, where we are in partnership with CODELCO, we have completed pre-feasibility studies, and we're now preparing an environmental impact statement expected to be completed by the end of next year. The project involves – that we're considering, involves an investment in a new concentrator of scale similar to the size of Cerro Verde concentrator we installed nearly 10 years ago, investments in desalinization and a pipeline system to support our water requirements. The preliminary estimate for incremental capital costs for the new concentrator project and related infrastructure, which continue to be reviewed approximate $7.5 billion and would provide 750 million pounds of annual copper production and 9 million pounds of molybdenum per annum over a very long life. This project would require about seven to eight years of lead time because of permitting requirements, but we're advancing so we have optionality, and we're going to continue to review the economics in the context of market conditions, but believe this is a project that will be required in the future to support long-term copper demand trends. In Indonesia, we're making great progress on our large-scale Kucing Liar development scheduled to commence production prior to 2030. We're also conducting additional exploration below our Deep MLZ ore body and expect an extension of our operating lines beyond 2041 will set up for additional long-term exploration and development options in this highly-attractive district. We're advancing all these initiatives to build optionality for growth, and we'll continue to be disciplined in our approach, targeting opportunities that can be executed efficiently, profitably and value-enhancing. Richard talked about the PT-FI extension beyond 2041, and the key role that the smelter plays in that process. We've reviewed in the past our discussions with Indonesian government to extend our rights, to provide continuity of the significant benefits of this operation to the people of Papua and Republic of Indonesia. During the second quarter, the government enacted a regulation applicable to a broad range of license holders in Indonesia. We've highlighted the applicable provisions for IUPK license holders such as PT-FI, and these are the requirements for the conditions, which need to be met to – for approval for an extension. These conditions are in line with our expectations, and we're in the process of completing an application to be in a position to file the application during 2024. The previous requirement for extensions could only be requested five years before expiry. So these new regulations allow us to apply now, reflecting the government's recognition of the long lead times required for investment. It is a really positive development for PT-FI and its stakeholders. We look forward to making our application and be in a position to extend our rights so that we can continue our long-range planning and maximize the value of this great resource. Slide 9 shows our three-year outlook for sales volumes of copper, gold and molybdenum, made some modest changes to 2024 copper sales, reflecting small revisions in the US and Indonesia. And as previously discussed, our gold volumes for 2024 will now reflect the change in the mine sequencing, which we discussed earlier, and this is really timing in nature. The rest of the guidance is very similar to our previous outlook. For 2024, we currently estimate consolidated unit cash costs to approximate $1.63 per pound, slightly above the April estimate of $1.57 and similar to our guidance of $1.60 per pound at the start of the year. The details of this are presented in the back -- on Slide 20, in reference materials. Slide 10 shows the cash flow generating capacity of this business, putting together our projected volumes and cost projections. We show a modeled result for our EBITDA and cash flow at various copper prices ranging from $4 a pound to $5 per pound copper. With these model results for 2025 and 2026 and current volume and cost estimates, holding gold flat at $2,300 per ounce and molybdenum flat at $20 a pound, EBITDA on an annual basis would range from nearly $11 billion per annum at $4 copper to $15 billion per annum at $5 copper. And our operating cash flows under these price cases would range from $7.5 billion per year to $11 billion at $5 copper. And we show some sensitivities for your reference on the right of this chart. We've got long life reserves, large-scale production. We're really well-positioned to benefit from a better fundamental picture as we go forward. On Slide 11, we show as we have in the past, our current forecast for capital expenditures in 2024 and 2025 -- capital expenditures for 2024, our forecast of approximate $3.7 billion and $4.1 billion in 2025. It's a relatively small increase over two years and principally relates to revisions and estimates for our sustaining capital program and long-term projects in the Grasberg District. We're going to continue to be disciplined in deploying capital, really making sure that the capital we're deploying pays off and build initiatives to enhance value. The discretionary projects over this two-year period totaled $2.5 billion. This is the category that reflects the capital investments we're making in new projects that under our financial policy are funded with 50% of available cash that is not distributed. We've got some details in the back on Slide 23 in our reference materials that provide some more information about these projects, which are value-enhancing and it will help us as we look to build value in the future. On Slide 12, in conclusion, we reiterate the financial policy priorities centered on a strong balance sheet, cash returns to shareholders, and investments in value-enhancing growth projects. Our balance sheet is solid. We've got strong credit metrics and flexibility within our debt targets to execute on our strategy. During the quarter, our credit rating was upgraded by S&P and now we're investment-grade rating by all three major rating agencies. As indicated on the slide, we've distributed $4.3 billion to shareholders year-to-date through dividends and share purchases. We've got an attractive future long-term portfolio that allow us to continue to build value and follow-up policy of investing in projects that build long-term value and returning cash to shareholders. We actively monitor the market conditions and carefully manage the timing of our projects to make sure our financial flexibility remains strong. Our global team is driven by value. We're focused on our clear strategy to execute our plans, invest in our future and return cash to shareholders. And thank you for your attention, and we'll now take your questions.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session [Operator Instructions] Our first question comes from the line of Alan Spence with BNP Paribas. Please go ahead.
Alan Spence: Thank you all. Good morning.
Kathleen Quirk: Good morning, Alan.
Alan Spence: Good morning, Kathleen, Maree and Richard. On the North American operations, your grades were lower year-on-year. And the leaching volumes in Q2 annualizing above the 2024 target, yet copper sales guidance was decreased, I appreciate just by 1%. But do we put those together and conclude that North American kind of optimization targets are maybe proving a bit more challenging this year?
Kathleen Quirk: Alan, we are really focused on productivity in North America. This is a big priority of our management team. During the second quarter, we made really good progress. We've got a series of metrics we're following that will drive the production higher. The one area that we're working on is we're continuing to have some unplanned maintenance, some disruptions caused by that. And really the asset health and reliability programs that we're putting in place and continue to build on, which has been a hallmark of our US operations are important to make sure that we meet our production targets. So I think we feel we're turning the corner. We've got very, very sharp focus on these things. The leach production is helping us to offset these impacts of low ore grades, and as I mentioned before, that's really going to help us bring down the average cost of our US production as we scale this further. But we've got to get these productivity objectives met. We're making progress on it. We had some issues in the quarter with some downtime in our mill and also some of our crush and convey facilities, but we're making progress to make sure our equipment is reliable and we don't have unplanned outages. And that's something we're really focused on as we go forward.
Alan Spence: Thanks for that. And just a quick follow-up question on the leaching. You provided some helpful additional color on it. You mentioned a high probability of getting to the $300 million to $400 million range by 2026. But just to confirm, none of that would be in current 2026 sales volume guidance?
Kathleen Quirk: Right. The -- we basically got our current rate that we're sustaining on the 200 million pounds per annum into our forecast. And so to the extent that we build on that scale and have a high confidence that we will, that is -- that provides some upside to our numbers. And what also provides upside is these productivity initiatives that I mentioned coming into play. So we know what to focus on. We've got teams working on it, and we're going to get there. But this leach thing will really help with the unit costs.
Alan Spence: Understood. Thanks, Kathleen.
Operator: Your next question comes from the line of Carlos De Alba with Morgan Stanley. Please go ahead.
Carlos De Alba: Yeah. Thank you very much. Good morning, Kathleen and Richard. So Kathleen, just continue with the discussion on the leach projects and initiatives in North America. Can you remind us or give us some color as to how much lower cash cost does those initiatives or those volumes have relative to the North American and overall current cash cost?
Kathleen Quirk: Yeah. So the incremental cost per pound for the leach initiatives or under $1 per pound incrementally. And the reason why they're lower is because the -- essentially, the mining cost has already been incurred. So this is ore that is in stockpiles where we're essentially recovering more metal than what our prior plans suggested we could do. And so we're identifying places within the stockpile where the rock has not gotten the benefit of this catalyst solution. And we've been able to identify these areas through our censoring and data analytics. And so now we're working on operational tactics to go after it. And so essentially, you don't have the mining cost because you've already incurred that. So this is all just incremental. And so that -- to the extent it scales, that has the benefit of bringing down the average unit cost in the US. And so it's something we're really, really focused on because it will change the competitive position of these US operations, principally our Morenci mine, which has most this potential. So we're really excited about it. We've got new technologies. We're bringing in some expertise from other industries, adjacent industries. It's helping us. We've got the agricultural industry that we've been taking the page from. We've got oil and gas industry, services industry that's helping us with some of these drilling techniques where we're drilling basically putting the solution. Usually, it's irrigated through, but over time, there's blockages, so we're now able to directly drill and put solution down into areas that aren't getting the benefit of the solution. And that's giving us a boost. We also call this other initiative, Leach Everywhere, and that's what I was referring to, where we're accessing areas that we couldn't get to before, and we're now able to get to them with drone technology helicopters where we can go places where humans couldn't go to lay these irrigation lines. So there's a lot happening here, a lot of excitement. We've got really major new mine potential here without big capital intensity and low incremental operating costs. So we're all over this one, Carlos. And -- but it does help us in terms of the incremental operating cost position of the US operations, the more we scale it.
Carlos De Alba: Thanks, Kathleen. And maybe just another one, and I understand this might be difficult to answer precisely. But with the new regulation for IUPK in Indonesia in place, and basically, as you mentioned, PT-FI imposition or having met basically the requirements to apply for an extension. What is the path ahead to get the approval of extension? I don't know if there is anything on timing or milestones that you can point to, and is this something that we have to wait until the new President is sworn in?
Kathleen Quirk : Well, the regulation was issued. We were waiting for a while the regulation to be finalized. And the regulation was issued in -- at the end of May. So that's a really positive development. And the catalyst really to put us in a position to be qualified as an integrated producer, which you have to be under this regulation to apply for a life of mine extension was the smelter. And so moving the smelter into commissioning and to the operational phase as we move into the next few months, really positions us to be able to apply. None of the conditions that are outlined in the regulation were surprises to us. It was in line with what we've been talking about with the government for some time now. We've got to actually put together the application package, which we're doing and we can apply now at any time. So we expect to apply to the license, there's not any guidelines for how long the government has to respond to that application. But the discussions we've had previously have been that the government wants to move forward with this quickly because they understand the long lead times, and they want to really see us get started on defining new resources and mine plans that allow us to have a continuity beyond 2041. So our objective is to get this done during 2024. I think that is really doable. And whether or not it's within this administration, the current administration is in place through October. I think there's large spread positive reaction to the smelter and to PT-FI being an integrated producer and to continuing the long-term benefits. And so whether it's this administration or the next, I think there's positive momentum for PT-FI to get this done during 2024.
Carlos De Alba : Thank you.
Richard Adkerson : And Kathleen, let me just add that this is different from what we had to face in the past. We're not debating on this. It's in everyone's best interest there's widespread acceptance for it. And there's a clear understanding now that shareholder -- all stakeholders benefit from us looking how to maximize the value of this resource. So it's -- for those of you who follow us in the past, this is a different process, and it's very positive.
Operator: Our next question will come from the line of Liam Fitzpatrick with Deutsche Bank. Please go ahead.
Liam Fitzpatrick: Good morning everyone. Just a question around the new smelter in Indonesia and the ramp-up profile. On the face of it, it appears a fairly optimistic target to achieve full capacity by year-end, just given the size and the complexity of it. So can you give us some color on some of the key ramp-up milestones that you'll need to achieve through H2 to hit that target? And then separately, moving forward, do you plan to give us any separate disclosure for the smelter, so that we can assess the operating performance and the profitability so on? Thank you.
Kathleen Quirk: Liam, in terms of your first question, it is a very large complex project and smelter startups there aren't a lot of them on the scale in the Western world in recent years. And so we've recognized that for some time and have been planning for this over an extensive period of time. We've brought together the expertise that Freeport has around the world in operating smelters. We operate a smelter in the US, in Arizona. We have efficient smelter in Huelva, Spain, that we've operated for some time. We also have an existing smelter in Indonesia that we're in partnership with a Japanese partner there that has been very successful. So we've brought to bear all of the expertise in not only looking at construction, and we've had a team, a dedicated team on the construction side who have just done a great job. But on an operational side, we've been standing up this team for some time to be able to run the smelter and training people, we've had – we've already got the people employed. We've brought in expertise from around the world to lead startup. And so we've planned for it. And your point is well understood by the company. We feel we're well-prepared for it, with any start-up you're going to have issues. We recognize that. But every time we've thrown issues and challenges at this team through the construction period and into the commissioning period, we've been able to overcome them. I hope you have a chance, if you haven't already, to look at the video showing really where this – where the smelter is in terms of operational readiness, and we're showing all the various facilities as part of it. So we've planned for it. We understand it's going to be a different way of marketing our product. In the past, in Indonesia, we've loaded concentrate on a ship and pay the TC/RC and collected our revenue, and that was pretty simple. Now it's got a more a more complex logistics situation, and we've got a number of products we'll be marketing. But the team has been working on this, and we've got expertise in operating smelters and marketing various products. And so we're well situated for it. In terms of the reporting, it will be reported. It's integrated into PT-FI. It will be reported as part of PT-FI's results, you'll be able to see its operating costs through the TC and RC line on our unit cost. But above that line in the revenue line, of course, we're going to be able to generate higher revenues because we're marketing directly. We have the -- essentially the free metal that will come through to our benefit. We don't have to pay a smelter, the payable factors, et cetera. So, it will be a piece of revenues and a piece of operating costs, but we'll provide disclosures to help you through that. We won't have the duties any longer. And so that's a sizable benefit as well. for our results. But just in terms of the operations and readiness, I'm going to ask Cory Stevens make a couple of comments. Cory is -- he Heads up our Engineering Group, our Project Construction Group, our group that deals with operational efficiencies. So, he's got a big portfolio, not only leading the smelter project, but also the leach innovation initiative. But Cory is just back from Indonesia and maybe, Cory, you can just supplement what I was talking about in terms of the readiness for operations.
Cory Stevens: Yes. Thanks Kathleen. Yes. So, the commissioning work is well underway. It's a number of giant unit processes and the teams are collaborating between operations and Kathleen mentioned it, but we've got a large contingent of operating folks from around the world, we're calling boots on the ground, and they're all out there together working side-by-side to commission this large project. I mean, it's pretty -- it's immense. And just to give you an idea, I mean, there's 45,000 pieces of instrumentation and computer connections that we're verifying and double checking and running the equipment through the operating ranges to be able to start up. And the ramp-up plan, when we go to start this up, I mean the plant wasn't designed to run very slow. So, you end up having to run it at essentially 50% capacity or a little bit better than that right from the start. And so there's a lot of checks and safety checks going on right now to be able operate at that level and then double check the procedures so forth and then we'll be able to ramp up from there. So, team's energized, it's well choreographed and has been planned for years, and we're ready to make it happen.
Kathleen Quirk: Yes. And I just want to emphasize one thing at Freeport, when we do a major project, we benefit from having a centralized team that supports operating teams. And so unlike some other companies that don't have this kind of infrastructure that can really help manage the construction period and transition to operations, we really can bring together the best of the best when it comes to executing a start-up. And I'm not sugarcoating, we're going to have things that come up, we know that, but we really have the right people that -- in place to have a safe and efficient start-up. We expect in August that we'll get first processing of concentrate through the facility. And as Cory said, the ramp up we expect to move pretty quickly to go through the end of 2025 -- I mean 2024, we're also -- we got a precious metal refinery that will be starting up in the same timeframe. in the revenue line, of course, we're going to be able to generate higher revenues because we're marketing directly. We have the -- essentially the free metal that will come through to our benefit. We don't have to pay a smelter, the payable factors, et cetera. So, it will be a piece of revenues and a piece of operating costs, but we'll provide disclosures to help you through that. We won't have the duties any longer. And so that's a sizable benefit as well. for our results. But just in terms of the operations and readiness, I'm going to ask Cory Stevens make a couple of comments. Cory is -- he Heads up our Engineering Group, our Project Construction Group, our group that deals with operational efficiencies. So, he's got a big portfolio, not only leading the smelter project, but also the leach innovation initiative. But Cory is just back from Indonesia and maybe, Cory, you can just supplement what I was talking about in terms of the readiness for operations.
Cory Stevens: Yes. Thanks Kathleen. Yes. So, the commissioning work is well underway. It's a number of giant unit processes and the teams are collaborating between operations and Kathleen mentioned it, but we've got a large contingent of operating folks from around the world, we're calling boots on the ground, and they're all out there together working side-by-side to commission this large project. I mean, it's pretty -- it's immense. And just to give you an idea, I mean, there's 45,000 pieces of instrumentation and computer connections that we're verifying and double checking and running the equipment through the operating ranges to be able to start up. And the ramp-up plan, when we go to start this up, I mean the plant wasn't designed to run very slow. So, you end up having to run it at essentially 50% capacity or a little bit better than that right from the start. And so there's a lot of checks and safety checks going on right now to be able operate at that level and then double check the procedures so forth and then we'll be able to ramp up from there. So, team's energized, it's well choreographed and has been planned for years, and we're ready to make it happen.
Kathleen Quirk: Yes. And I just want to emphasize one thing at Freeport, when we do a major project, we benefit from having a centralized team that supports operating teams. And so unlike some other companies that don't have this kind of infrastructure that can really help manage the construction period and transition to operations, we really can bring together the best of the best when it comes to executing a start-up. And I'm not sugarcoating, we're going to have things that come up, we know that, but we really have the right people that -- in place to have a safe and efficient start-up. We expect in August that we'll get first processing of concentrate through the facility. And as Cory said, the ramp up we expect to move pretty quickly to go through the end of 2025 -- I mean 2024, we're also -- we got a precious metal refinery that will be starting up in the same time frame. So a lot has gone into this project, a lot of planning. And it's been executed well, and we expect that we'll continue to execute it well through the ramp-up.
Liam Fitzpatrick: That was a very comprehensive answer. So thank you both. Could I just ask a quick follow-up? Is there one item along the critical path over the next few months that you'd highlight that once you get through that, you'll be sleeping a bit easier at night?
Kathleen Quirk: Cory, you have one on your mind?
Cory Stevens: Yes. So we're taking extra precautions on the second stage of the smelting furnace, the flash converting furnace, there's only six of these running in the world. It's fairly specialized and we're taking extra precautions there. That is at the heart of what's going to enable the smelter to operate at the levels that we want to.
Liam Fitzpatrick: Thank you.
Operator: Your next question will come from the line of Bob Brackett with Bernstein. Please go ahead.
Bob Brackett: Good morning. A question around the gold sales revision. I understand the wet conditions in the Block Cave changed your mine sequencing into maybe a lower gold grade area, but why doesn't those ounces come back in the plan period? So if you lost 0.2 million ounces this year, wouldn't you argue that it should reappear in 2025 or 2026?
Kathleen Quirk: Yes, it's 150,000 ounces, Bob, and it comes back into our plan over the next few years. And so it just didn't -- it didn't round enough to up our numbers, but it is purely a timing situation. And when we look at the – our overall 5-year plan, it really it didn't change much. Mark Johnson is on the call, the issue we had in the second quarter, and we expect will continue for a period 2024 is we had some wet draw points that had spillage that we couldn't get back in to clean up. It took -- takes a while to clean it up. We've got a robust remote mining, underground mining system, and that's working really well. And what the team is working on is a remote pumping system that allows us to clean up these spills more quickly, and so we don't have as much disruption in these areas. But it really is just a timing thing. And Mark, I don't know if there's anything you want to add to those comments?
Mark Johnson: No, Kathleen, I think you touched on it. We've been managing wet muck going back to the IOZ, so roughly over 20 years. Some of the things, as you mentioned, we had some spills that traveled a bit further. So that in the GBC, there's some unique material characteristics that we're mitigating. And the primary one, as Kathleen mentioned, is the ability to remotely place pumping equipment and pump out the water that accumulates during some of our time entry criteria. So what we have is a period of time that we wait to get safely back in, what we're seeing is that the water builds up during that period of waiting. By getting the remote pumping in, we'll be able to have it pump before the -- while this time is taking place and then we can start our cleanup much quicker. One of the things that we did in GBC is -- that was a bit unique, we -- because it's the foundation of our operation and the primary source of value, we built in the additional operational flexibility by developing more draw points than theoretically required to meet the production rate. And that's what allowed us to shift to this other area that had very similar copper grades, but incrementally lower gold grades. And as Kathleen mentioned, over the five years, that that goal you had mentioned is back in the plan. And we plan to have this mitigation measure strongly in place, firmly in place in the fourth quarter, and I'm confident we can do that.
Bob Brackett: Great. That's very clear. A quick follow-up on sort of the third condition around the IUPK application is commitment for additional exploration and increases in refining capacity, is that a hard dollar amount that you have to put into the application? Or is that something that you've discussed? Or is that a softer sort of target?
Kathleen Quirk: That's something that would be approved by the by the Minister of Energy & Minerals. We've been talking with the government. We do have plans to conduct exploration and we're doing some of that now. In the future, we'll conduct additional exploration that will allow us to identify additional resources. And so that is -- it's really part of our plan for extension. In terms of the additional refining capacity, there's been discussion with the government. There is an aspiration to have additional capacity in Papua. Our current smelter is located in Gresik, and there's an aspiration to have additional capacity in Papua, and that continues to be discussed with the government. But there's not a -- the regulation doesn't have a specific number or level of investment. It really is a matter of looking at what's needed in country and the desire is to have it located in Papua, and we'll be working to evaluate that along with the government.
Bob Brackett: Very clear. Thanks.
Operator: Our next question comes from the line of Orest Wowkodaw with Scotiabank. Please go ahead.
Orest Wowkodaw: Hi. Good morning. Just a clarification on the potential IUPK extension. The -- it sounds like you're moving towards giving up an extra 10% in the asset post 2041, would you receive any proceeds for that? Or is that effectively just the cost of the extension?
Kathleen Quirk: The 10%, offering a 10% interest to a state-owned company, and we're talking with MIND ID about their objective to acquire additional 10%. The discussions we've had to date with the government have involved offering that 10%, and this is coming from FCX's shares, offering that 10% at -- with a reimbursement of our capital costs incurred for the current period through 2041 to the extent that, that benefits the period beyond 2041. So it's essentially a book value concept. And the rationale for offering the 10% and the mechanism for valuing it has been that the government is granting PT-FI with the extension and it's a cost of the deal. And from our perspective, being able to extend beyond 2041, there's a lot of value there that if we don't move forward and make investments that we won't be able to accomplish. So we felt it in the spirit of the partnership we have with the government where it's a one-off alignment and a win-win that this was an appropriate to give us the optionality to have value significant value beyond 2041.
Orest Wowkodaw: Okay. Thank you. And just as a quick follow-up, it's nice to see the buyback resume here in July. It's been two years, I think, since we've seen any share repurchase. Should we expect that now to ramp up in the second half of the year with the smelter commissioning and ramp-up?
Kathleen Quirk: The financial policy is basically one where we distribute through dividends and share purchases, available cash, 50% of available cash. The smelter investments were not part of that math. So we're financing the separately. So the available cash definition is really just the flow and less the CapEx that's required for the current operation. It doesn't include the smelter. It doesn't include our future growth that we're investing in the discretionary projects that we've labeled earlier. So that will be a function of what our cash flows are. We certainly want to continue buying back stock, but it will be a function of what ultimate cash flows, and we'll continue to follow that policy.
Orest Wowkodaw: Thank you.
Kathleen Quirk: Just as a reminder, we're moving past the hour here, and I know people have been asking more than one question, so please limit to one and we'll get back to you with follow-ups.
Operator: Our next question will come from the line of Michael Dudas with VRP. Please go ahead.
Kathleen Quirk: Hi, Mike.
Michael Dudas: David and Richard.
Richard Adkerson : Hey, Mike.
Kathleen Quirk: Mike, I think your line is cutting out.
Michael Dudas: Can you hear me now?
Kathleen Quirk: I can hear you now.
Michael Dudas: Thank you. Your relationship and negotiations with the Indonesian government has been going quite well as you portrayed here today and in past calls. Maybe you can update us on how things are in Peru, Chile, maybe even in North America, how -- relative to the amount of investments that you're going to be looking at, maybe others and your competitors as well, how that's played out given the volatility and the upside in the copper price and any thought from those governments and those ministers to move along with the needed supplies that the market seems to be calling for?
Kathleen Quirk: I think in South America, there's a strong desire to see more investment certainly Peru and Chile, both, want to see more investment in mining is such a big part of their economy. So they are very, very interested. Now you've got to make sure you've got the community and social matters done in the right way, but there is a strong desire for those to make investments. Chile is going through a process now of looking at its permitting and trying to streamline permitting. We talked about El Abra project going through a long permitting process, and we're hopeful that this process that the government is now undertaking will allow a streamlining of permits. But I think both countries want to see more investment in mining. The US as well, you've seen that in recent times with the US prioritizing metals that are critical to the supply chain. And so I think the environment for -- in these countries for making investments is more positive than it has been in the past. But again, I want to emphasize the social aspect of this and the community aspect. It doesn't mean that, that lowers the bar and what our responsibilities are to sustainability into communities and environmental management and social good. So you've got to tick all the boxes, but there is a growing recognition of a need for these metals, and copper is one of the leads for that. So we are in a good position. We're in a particularly good position in the US with our current operations where – what we're talking about doing is building on existing operations. And so the permitting requirements are not as extensive for types of projects we're pursuing as they would be for a greenfield project or project in Chile, for example. And US is also talking about streamlining, permitting and regulatory. So we're in a good position, the Lone Star, Safford opportunity that I talked about earlier is one that even though our studies are a little behind where we are in Chile with El Abra, that project will catch up pretty quickly because we don't have the extensive permitting requirements to do that project that we have in Chile. So we're very focused on getting that project defined, so we can look at them together and see, which one is -- drives the most value for our business and shareholders. And so we really have an advantage in the US with the existing operations and leveraging our current position. Of course, the leaching doesn't require new permits. So we're in a good position to bring on projects more quickly than maybe others could.
Richard Adkerson: Years of commitment to doing what Kathleen just said of doing the right thing, building relationships have led us in the US to have uniform support from communities, from native American groups, from state governments and regulators. The same goes true in Peru for our Cerro Verde project in the Arequipa region where Peru can be very challenging. It's got very challenging politics right now, but we benefit from work we've done to support the community and that's very helpful. And then in Chile, we're – our 49% partner at El Abra is CODELCO, and they are very anxious for us to move forward and very supportive. We developed a relationship with [indiscernible] will be on a panel with him at APAC and Peru this fall. And the tone has significantly changed from his initial election period where he's met the realities of the need for Chile to help support the mining sector. This is always such a big important part of our business, as you can see around the world. We learned a lot of lessons early on with the development of Grasberg and the need to have good relationships with indigenous people there as well as with central government. So, I'm proud of what our team has done, and we're just committed to finding common ground and doing things in the right way.
Michael Dudas: Very helpful Richard and Kathleen. Thank you.
Kathleen Quirk: Thanks Mike.
Operator: Our next question comes from the line of Lawson Winder with Bank of America Securities. Please go ahead.
Lawson Winder: Operator, thank you very much and Kathleen and Richard, hello and thank you for making the time for my call -- my question. I'll just keep it brief. I wanted to ask about Kucing Liar, hugely high-return project for you all. Effectively one topic, three questions. I just wanted to get an update on when you were expecting first production and then ask as to the pace of spending? So, I mean it's a $4 billion project, and you're noting that about $400 million have been spent to date over a period of about two years. When do you expect that to start to pick up a little more? Thanks very, very much.
Kathleen Quirk: Lawson, you're right. It's like our other projects, long-term development, Grasberg underground blockade, the capital is spent over a multiyear period. And we do, in our projections, show that we'll start ramping up spending in Kucing Liar as we go forward. The average of $400 million a year over a 10-year period was -- we're spending a little bit lower than that, and that will begin to ramp up and we'll have some years where it's higher than $400 million. And there may be additional development in that $4 billion that will occur after we start. So, -- but we are expecting a start-up KL towards the end of this decade in advance of 2030. And it is a very large scale, 90,000 tons a day of ore, significant copper and gold production from that deposit. A real benefit of this extension beyond 2041, is the resource is much larger than what we'll mine between late 20s, late 2020s and in 2041. So, we'll have -- we did the economics and the economics paid at just the life that ends in 2041. But there's a lot of resource beyond that, that will come in the fold with an extension. So, it's a great extension of Grasberg. It's in that district. We're leveraging everything that we've learned from developing the Grasberg Block Cave and Deep MLZ, and prior to that, our other ore bodies, but it's basically the same kind of development that we've had in the past, and we're using all the new learnings and technologies that have benefited us in the development of Grasberg Block Cave. So, we're in a good place there and feel good about our execution of this project over the next several years, leading into 2030, where we'll have good production coming from this operation.
Operator: Our next question will come from the line of Brian MacArthur with Raymond James. Please go ahead.
Kathleen Quirk: Hey, Brian.
Brian MacArthur: Good morning, Rick. Good morning, Rick and Kathleen. Thank you for taking my question. I just want to go back to this 10% on the IUPK. I just want to confirm, A, until 2041 you maintain your 48.76%. I think that's what I understand is that it's 10% thereafter. But then two, on the capital, do you put it all in for 2041 and then get it back? Or is this going to be more like for a while at Rio, where as you develop reserves and their ownership goes up, that you share the cap in different ratios like we saw that said, with the Rio Tinto stuff historically. I'm just trying to figure out exactly like how the cash flows are going to work on this.
Kathleen Quirk: Yes. Well, as part of the application to the government for the extension, we will submit an agreement to make the transaction. And that agreement is currently being discussed with MIND ID. The -- what's been discussed over the last couple of years with respect to this, or the last year plus, is the way it will work is the 10% share transfer will take place in 2041. And the price paid at that point will be a reimbursement of the capital that was incurred between now and 2041 that benefits the period beyond 2021. So to the extent, it's not like the Rio Tinto deal at all. It's basically just a reimbursement at book value of what's there to benefit the period beyond 2041. So essentially, look at the at the book value end of 2041 and that pro rata percentage, 10% of our shares will be transferred and that will be the purchase price will be the reimbursement of capital. So the cash flows between now and 2041 won't be impacted by it.
Richard Adkerson: And Brian, that transaction occurs after 2041. It's not like the Rio deal where the transaction occurred in the mid-90s, and it was just a question of how it was applied. So if for whatever reason it doesn't occur, then our interest will stay the same. It's anticipated the government would act to acquire that 10%, and that would be the agreement on the cost reimbursement, we get triggered when that transaction occurs.
Brian MacArthur: All right.
Operator: Our final question will come from the line of Bill Peterson with JPMorgan. Please go ahead.
Bill Peterson: Hi, Kathleen and team. Thanks for taking the question. Nice to see the doubling of the leaching in the first half 2024 relative to the first half last year. Looking ahead, how should we think about the trajectory from here? Do you expect to be at a similar output as the recent quarter, 55 million pounds or some of the productivity items you highlighted, such as using technology, you see further upside in the back half of the year and into 2025 as you progress to the 300 million to 400 million pounds per year target in 2026?
Kathleen Quirk: The current run rate is what's in our numbers. We do see opportunities to build on it through these initiatives that we're pursuing to move up to this 300 million to 400 million pound per annum range. And so it will come over time. It's not going to come in all at once. And so as we go through this year and next year, we'll probably have more than what we've currently got in our plans. But we haven't put forward. We're still deploying these tactics, we feel very confident about them, but we haven't put those into our numbers at this stage, and that will be something that we'll continue to update as we go forward.
Bill Peterson: Thank you.
Operator: With that, I'll turn the call back over to management for any closing remarks.
Kathleen Quirk: Thank you, Regina, and thank you, everyone, for your interest and participation. And if you have any follow-ups, feel free to contact David.
Operator: Ladies and gentlemen, that concludes our call for today. Thank you for your participation, and you may now disconnect.